Operator: Good morning, everyone. Thank you for holding, and welcome to the America's Car-Mart’s fourth quarter 2013 conference call. The topic of this call will be the earnings and operating results for the company's fiscal fourth quarter and full-year 2013. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in this morning's press release, which can be found on America's Car-Mart's website at www.car-mart.com. As you all know, some of the management's comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the safe harbor provision of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the company's Annual Report on Form 10-K for the fiscal year ended April 30, 2012, and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on forms 8-K and 10-Q. Participating on the call this morning are Hank Henderson, the company's Chief Executive Officer and President, and Jeff Williams, Chief Financial Officer. Now, I would like to turn the call over to the company's Chief Executive Officer, Hank Henderson.
William Henderson: Good morning, everyone. We appreciate you joining us today. We are well aware that there have been many questions and concerns raised throughout this past year as to how we might be impacted by competitive pressures with the increased availability of subprime financing out there. The competition has indeed been stiffer and I think that that makes us even more proud of our results for both this most recent and for the whole year. For this quarter, unit sales were up 10% over the prior year quarter and for the year they were up 8% going from 37,722 to 40,737. As we were able to hold our average sales price relatively flat in the interest of affordability, we had a commensurate rise in revenue of 8% as well going from $430 million in the prior year to $465 million for this most recent. On the last call, we explained it well, repeat business has always been a core focus for us. We had put even more intense efforts on to customer retention to assure that we weren’t losing good customers during this time of increased competition. I am very happy to report that those efforts are paying off and for this past quarter we actually experienced an increase in our sales to repeat customers as a percentage of our overall sales compared with the same time last year. Our associates are to be commended for their extra efforts, dedication, taking great care of our customers. In our efforts to achieve the highest possible level of customer retention we were more aggressive with repeat customers with regard to down payment and term length and while this does have somewhat of a negative effect on cash flow, which Jeff will explain in more detail in a bit, we do feel we have been more aggressive with the right group of customers. They are much more of a proven risk than the rest and we do have a solid understanding of the value of keeping the business of our good customers. All-in-all, this was a solid year for us. We have a lot of very positive things going for us now as we were able to accomplish several big projects this year in preparation for future growth and I will tell you about a few of those in just a moment but right now, I will go ahead and turn it over to Jeff to give you the details on our results from this quarter and year. Jeff?
Jeffrey Williams: Thanks, Hank. Revenues for the fourth quarter were right at $126 million, up almost 11% from the prior year. Same store revenues increased 5.3%. We are especially pleased with topline results, given the overall macroeconomic environment remains challenging for our customers and funding of used auto industry has certainly increased. We continue to perform well because we are focused on affordability and helping our customers succeed and differentiating our offering from that of the competition. As Hank mentioned, the average retail sales price for the full year was basically flat, $9,721 compared to $9,675. It was $179, or 1.8% for the quarter versus the prior year's fourth quarter. As we look forward, we do expect some sales price increases more in line with historical experience on a comparable quarter basis. Our model does allow us the ability to take advantage of overall lower wholesale pricing trends to put our customers in a little higher quality car as we move forward. As always, we work very hard to keep our price increases to a minimum for obvious affordability reasons. Our down payment percentage was 8.7% for the quarter, down from 9.5% around $75 per unit from the prior year quarter and down to 6.6% for the full year compared to 7% for the prior year or about $42 per unit. The average down payment amount for all contracts at the end of the year was $642 which was down slightly from $644 at the end of April 2013. Collections as a percentage of average finance receivables were 17.6% compared to 19.2% last year. For the full year, collections as a percent of average finance receivables was 60.6% compared to 65.6% for fiscal 2012. For the quarter, our initial average contract term was 27.7 months compared to 26.7 months for the prior year quarter but down slightly from 27.8 months sequentially. Our weighted average contract term for the entire portfolio, including modifications, was 29.3 months compared to 28.1 months at this time last year and compared to 28.7 months sequentially. The increases in term are primarily related to our efforts to keep our payments affordable for competitive reasons and to continue to work with our customers when they experience financial difficulties. In order to remain competitive, our term lengths may continue to increase some in the future. We are aware of the downside that comes with lower down payments and increased term lengths, but we are confident that we can manage that risk appropriately and that our expected cash on cash returns will support our decision. We are committed to not stretching terms and reducing downs anymore than we think is absolutely necessary to attract and retain our target customers. The quality of our cars is high and our reputation of service levels are excellent which will allow us to continue to attract the better customers and to manage the credit risk side in a profitable manner. The current competitive and macroeconomic environment continues to present some headwinds for us, but by staying focused on customer success and earning repeat business, our future is bright. The overall average retail units sold per month per lot for the quarter was 29.4 compared to 28.9 for the prior year period. At quarter-end 33 or 27% of our dealerships were from zero to five years old, 27 or 22% were from five to 10 years old, with the remaining 64 dealerships being 10 years old or older. Our 10 year plus lots produced 32.7 units sold per month per lot for the quarter, compared to 33.4 for the prior year quarter a 2% decrease. Our lots in the five to 10 year category produced 27.3 compared to 24.1, a 13% increase. The lots in the five years of age and less category produced 24.4 compared to 21.8 for the fourth quarter of last year or a 12% increase. Productivity at our older dealerships has been a little more effective by macro and competitive factors but we are moving in the right direction and focused on customer retention and earning repeat business which is extremely important in our more mature dealerships that have a deep pool of past and current customers. We have significant room for future volume increases for our existing store base. We will continue to highlight the benefits of our excellent service and our local face-to-face offering to market. Interest income was up $1.5 million for the quarter due to $46 million increase in average finance receivables. The weighted average interest rate for all receivables at year-end was approximately 14.9% basically flat with this time last year. For the quarter, our gross profit margin percentage was 41.8% compared to 41.7% for the fourth quarter of last year. The improved gross margin percentage resulted from slight improvements in pricing efficiencies and improved wholesale results offset by higher losses under the payment protection plan. Our goal is to balance affordability for our customers with appropriate gross margin percentages to enhance customer success. We expect gross margin percentages to remain in the current range over the near-term. For the quarter, SG&A as a percentage of sales decreased to 16.9% compared to 17.1% for the prior year quarter. The $1.5 million increase in overall SG&A dollars related primarily to higher payroll costs and other incremental costs related to new lot openings. We do expect some SG&A leveraging in the future as we grow our revenues and we are committed to leveraging the infrastructure investments we have made over the last several years. The timing of leveraging, specially on a quarter--quarter basis is a little harder to pin down but it was certainly nice to see the leveraging for the fourth quarter. We will continue to invest in our infrastructure to support our growth. For the quarter, net charge-offs as a percentage of average finance receivables was 7.1%, flat with prior year quarter. Principal collections as a percentage of receivables for the quarter was 17.6%, down from 19.2% for the prior year quarter. The decrease in principal collected percentage between periods can be attributed to the increase in the average term of about one month. The fact that we did modify a higher number of accounts and we have more delinquent accounts during quarter related in part to the delay in IRS refunds compared to prior periods. Also, our managers with some additional leeway on deal structures for certain target customers during the quarter based on competitive factors. Also we did have an increased number of special payments scheduled for tax time 2013 when compared to prior years. We have improved resulting terms of the percentage of accounts we paid. However, the overall dollar amount collected was less as a percentage of AR due in part to delays in refunds and what appears to be a changing customer behavior as related to making extra payments during tax time. Also the overall push of the timing refunds within the quarter did effect calculation of the percentage collected, brought it down some. We believe that the quality of the portfolio at April 30, 2013 is good even though net charge-offs as a percentage of average AR is flat, compared to losses on the income statement is higher for the quarter and full year by approximately 110 basis points and 90 basis points, respectively due to the lower percentage collected for the reasons discussed. We have several operational initiatives in place for the collections area of the business and we feel good about the performance of the portfolio in the future but we do expect current losses to be a little higher than historical averages due to continuing macroeconomic and competitive factors. The frequency of our losses continues to be good by historical standards and the severity, while up some, has leveled off a little recently as we really work hard to help our customers succeed. Overall wholesale price decreases have put some pressure on severity but we are doing a nice job of offsetting that through some operational improvements. At April 30, our total debt was $100 million and we had $41 million in additional availability under our revolving credit facilities. Our balance sheet is very healthy and we are committed to keeping it that way. We believe it is prudent to maintain a very conservative balance sheet at all times but especially in current operating environment. Our current debt-to-equity ratio is 49.2% and our debt to finance receivables ratio was 27.4%. Although did not repurchase in common stock during the quarter, we did repurchase $17.3 million during the year. Since February 1, 2010 and we have repurchased $88 million in common stock or right at 25% of the company. We do plan to allocate some capital to repurchases in the future but our priority will be to grow the business in a healthy manner. We are very proud of the fact that for the full fiscal year we funded $5.5 million in net CapEx which included 10 new dealerships, a $6.5 million increase in finance receivables, $5.6 million in additional inventory to support higher sales levels and $17.3 million in common stock repurchases, all with a $21.7 million increase in total debt. Now, I will turn it back over to Hank.
William Henderson: Thanks, Jeff. For the past several years, we have been working diligently to build out the best possible theme in infrastructure to take us to the next level. We have been focused on being prepared to head over growth and we have made significant changes in addition this past year for that purpose. I would like to just highlight a few of those for you. Jon Sims, who joined us back in '06 after a long successful career with Walmart, came to us to head up our purchasing department. He was recently promoted to oversee all of our support operations. Meaning he is now working with, he is department head of our supporting teams for sales collections and purchasing to ensure that each of these groups come to rely as a same high level of efficiency that Jon was able to achieve within our purchasing department under his leadership. This past quarter, our associate development team completed the rollout of a comprehensive training program that has long been in the works. We now have in place online courses for each lot level position complete with a step-by-step training plan or owners manuals as we call it, and video training for each task along with proficiency testing that must be completed before moving forward in the course work. In total, 43 training videos were produced this past year. This team has truly done some excellent work and we are already beginning to see some very positive results. Another major project we took on this past year was a complete rewrite of our proprietary operational software. It manages all of our purchasing, inventory management, sales financing, collections and all the associated reporting. This was a substantial undertaking and a significant investment. We are confident that this new system is second to none in the industry and will greatly enhance our operations. We will begin rollout this next month and plan to have it fully in place at all stores by October. While our prior system was very good, this new system is even more intuitive and it greatly speeds up our sales process, has more efficient screens for collections and it will provide us with an improved customer management system giving us even more tools for our ultimate purpose of assuring the highest possible level of repeat business. Very importantly, as well, to note is that this new system has been developed in a modular fashion so that we will be able to make changes and enhance our software much more quickly as we move forward than we could with our past system. Actually it is becoming even more nimble in this regard as we grow. It is very exciting because we are indeed growing. This past fiscal year, we hit our mark of adding 10 new stores. Three in Alabama, three in Missouri, and then one each in Arkansas, Tennessee, Georgia and Mississippi. Spreading out these openings has helped in that by not putting all the new stores into the same region we were able to spread out the new additions to assure that each get the extra added attention that new stores require to assure the very best possible starts. In this upcoming year, we have our sight set on opening 12 new locations. Four of which are already underway and we actually hope to have these open within our first quarter. That would be one each in Oklahoma, Tennessee, Georgia and Mississippi. So that concludes our prepared remarks. We would like to move on to questions. Operator?
Operator: Thank you. At this time, the participants will now answer questions from callers. I would like to reiterate that my earlier comments regarding forward-looking statements apply both to the participants' prepared remarks and to anything that may come up during this Q&A. (Operator Instructions). Our first question comes from John Hecht of Stephens. Your line is now open.
John Hecht - Stephens Inc.: Thanks very much. Congratulations, guys, on a good quarter in a pretty solid competitive environment. Just a couple of questions. First one is what's the kind of mileage in average year of the cars that you are selling now? Has there been any meaningful change in that statistic over the past year or two?
Jeffrey Williams: Yes, the average age is right at nine years and the mileage is a little over 100,000. We have recently seen some nice decreases in the age with wholesale prices coming down some. But the mileage is still up when we look at prior years but again we feel like every year that goes by, the quality of car we are putting out there gets a little better.
John Hecht - Stephens Inc.: Okay, and what's the percentage of purchasing directly from dealerships now in the inventory versus the auctions?
William Henderson: The actual direct from new car dealerships has gone down over the years. Certainly more coming from wholesalers. I don’t have the exact number for you on that. I will tell you that we, in the past, talked about our percentage coming from auctions being under 10%. It’s a little bit above that now at this point. This past year, we bought more cars actually out of Florida in an effort to get some more lower mileage vehicles and certainly since we have moved more to the east, we are closer to there. So that has bumped our auction parts is up a little above that 10% mark.
John Hecht - Stephens Inc.: Okay, and final question. Your balance sheet number is just still very low but it has been coming up over the past. I am wondering do you have any capital plans or leverage goals or where would you be comfortable taking that?
William Henderson: Well, we haven’t really, but we sell like the market itself we want to be in a position that, from a comparative standpoint, but if funding does go back out of the industry, we would want to be in a very nice position to take advantage of that. So with our new store growth plans we just want to make sure that we are extremely conservative and healthy on balance sheet side. We plan to allocate some capital to share repurchases but just not at the levels that we have seen recently. We feel like its just a good time to be really conservative on the balance sheet with what's going on and where we are in the industry on the funding side.
John Hecht - Stephens Inc.: So with that, would we expect to get a current leverage ratios to be nearly consistent going forward or how do we think about that?
William Henderson: Yes, I think as we look at it, it would be fairly consistent with what we have got now.
John Hecht - Stephens Inc.: Okay, great. Thanks very much, guys.
William Henderson: Thanks.
Operator: Thank you. Our next question comes from David Scharf of JMP Securities. Your line is now open.
David Scharf - JMP Securities: Hi, good morning. Thanks for taking my questions. A couple of interesting metrics that where put out there. Hank, I think, you had mentioned that sales to repeat customers as a percentage of your total sales went up. Can you provide us with some numbers around that? Give us a sense for how much the retention efforts had paid off?
William Henderson: Yes, well, keep in mind, that we do have a lot of younger newer stores out there that really don’t get the benefit for a couple of years of the repeat business until the payoffs start coming. So looking more at stores beyond that, I think we saw throughout the company as a whole even with the new stores, we have run at about a third and then with some of our older stores, actually it can run above the 50% more. So when we look at our overall company as a whole, comparing this past quarter to a year ago, it is something we have particularly and have always looked at and certainly even more focused on because we know with the increased competition, a good proven customer certainly we don’t want to lose out. That’s why we mentioned that again its been about a third but we were actually a little bit higher than we were in the prior year. It wasn’t as significant. It wasn’t a large amount but the point is that it did actually increase. So I think that’s a good reflection that we are keeping our customers.
David Scharf - JMP Securities: Got it. That’s helpful. Jeff, I think you had mentioned that customer behavior was a little different this tax season. I think you made reference to sort of a less willingness to make extra payments. Do you think it maybe related to delays and that quite frankly you could spend a little more in the intervening month before its fit to get the refund? Or do you think its indicative of some other macro factors? Any conclusions at this point we can draw?
Jeffrey Williams: I think it is fair to say that the delays had some effect there. The customer certainly maybe chose to save a little of that money this year, do something else with it, as opposed to getting a little ahead of paying some extra on the contracts with us. But certainly, the delay itself had some effect on that behavior.
David Scharf - JMP Securities: Got it. Is there a way to quantify maybe what that impact may have been, a more normalized payment behavior? What that 17.6% collection rate might normally be?
Jeffrey Williams: Yes, I mean it’s a little bit of guesswork on our part but it may have been between $1.5 million and $2 million of affect this quarter. This would have brought that 17.6% up some.
David Scharf - JMP Securities: Okay. Got it. Moving on, just on the discussion of term. I just want to maybe circle back to, in the past you commented that despite the competitive pressures and some of the recent cuts you had to take that, the goal is to keep the total weighted term below 30 months. Is that still something we should expect going forward based on everything you are seeing competitively right now?
Jeffrey Williams: Yes, I think we are doing all we can to keep that as short as possible without losing the better customers and a lot of that is going to be driven by competition but we are continuing to do things operationally to keep that term as short as possible. Really looking at our deal structures and equity on the front-end and special payments during tax time and everything that can contribute to a shorter term. But I think we did see a sequential decrease, although slight, in the initial contract terms this quarter, which was nice to see but we think it is going to level off around 30 at some point Hopefully, we can keep it lower than that.
David Scharf - JMP Securities: Okay, and just speaking of tax time. Especially tax rate is a little lower this quarter. Should we still be thinking about a 37% rate for this current fiscal year and was there anything in Q4 that brought that down?
Jeffrey Williams: No, its just the full year expectation, it came in at 36.5%. So a little less than we thought after nine months. So the overall rate for the fourth quarter was a little less. I think somewhere around 37% going forward is a good rate.
David Scharf - JMP Securities: Got it. Just one last question. As far as the manager and staffs, I believe when a lot of these were rolled out last quarter and in the January quarter you had commented that the originations related to some of those incentives such as the lower payments for the first three months and the like maybe accounted for about 7% of origination volume in the January quarter. Were there similar incentives in place during the April quarter? Is there a figure for what percentage of your volumes they were attributed to?
Jeffrey Williams: We don’t have that number handy. It certainly was less of a factor in the fourth quarter than it was in the third. The tax refund season and we didn’t need to make as many of those individual decisions or structure deals with the customer base during the fourth quarter as we did during the third. I don’t have the exact amount.
David Scharf - JMP Securities: Thanks. That’s helpful. Thanks very much.
Jeffrey Williams: Okay.
Operator: Thank you. Our next question comes from Bill Armstrong of CL King & Associates. Your line is now open.
Bill Armstrong - CL King & Associates: Good morning, Hank and Jeff. So, just getting back to that customer behavior issue. Are you saying that when they got their refunds were they not making the scheduled special payments or do you typically see them making maybe a little bit more than they are required to and they are just not doing that now?
Jeffrey Williams: Yes. This year we very successful on percentage of customers who made their payments. We had an increase in percentage of those customers that made their payments but in prior years we have seen customers actually make more in terms of extra payments or payments in addition to what was required. That was not quite as prevalent this year and that could have been due to an extent on the delay in refunds.
Bill Armstrong - CL King & Associates: You think maybe the higher payroll taxes might have contributed to that also?
Jeffrey Williams: Yes. That certainly could have contributed. Yes.
William Henderson: We speculate on a few things and that could have been part of it.
Jeffrey Williams: Yes.
Bill Armstrong - CL King & Associates: Okay, and then going back to the previous question on repeat customers. What's the trend, if we just isolated the mature stores. Are they seeing an increase or any change in the repeat customer mix in the mature stores?
William Henderson: Yes, we do actually. Specifically to that group, they were higher than the prior year. So yes, that’s something we feel really good about internally. Getting more aggressive with it. It helped. We know that customers have more alternatives right now. I now. There is a lot more financing available and so we just stepped it up and been more aggressive. So, yes. But our older stores were up.
Bill Armstrong - CL King & Associates: Got it. Okay, that was all I had. Thanks.
William Henderson: Thanks, Bill.
Operator: Our next question comes from Eric Carter of Kobi Partners. Your line is now open.
Eric Carter - Kobi Partners: Good afternoon, gentlemen. Thanks for taking my call. Just a quick question with regards to the year-over-year average change in productivity. Looks like you went from 28.6 to 28.8 cars. Considering that, with the extension in the contract terms, if it was deemed, from a risk perspective, to keep those contracts at 27 to 28 months and you didn’t modify as many of the existing contracts, do you have any idea of what that potential downside could be from a productivity standpoint?
William Henderson: It is very difficult to quantify that exactly but the possible side, had we not stepped up and been more aggressive we would have been more flat or perhaps down a little bit.
Eric Carter - Kobi Partners: Okay, and the main reason I ask is, we haven’t seen any softness really in the used car pricing. So with that 30% over that 30 month, are you willing to go beyond that? Or would you prefer to be at a 27 or 28 or ultimately where do you draw the line in the sand?
William Henderson: For as long as we have been in business, if this just were to be on that cost versus quality curve that matches our customer's budget has always been a challenge of course. But now, we don’t want to see our term go out a lot farther. It is where it is. It’s a combination, both of where we need to be for affordability for that payments to fit into our customer's budget but yet at the same time to try to be a little bit more aggressive again to competition. So, no, we don’t want to see it stretch out a lot but it may bump up a little bit and certainly, as Jeff mentioned earlier in his comments, you may see those process go up a little more this next year. So that can put some pressure on that but our intent is to try to keep it short.
Jeffrey Williams: I think it is important to note that we are selling a nine year old car with around 100,000 miles on it. It's got a whole lot of economic life beyond 29 months. So our main focus is making sure that customer has an asset on day one and an asset after 30 months. So the mechanical quality of our product increases every year.
Eric Carter - Kobi Partners: Got it. Okay, and then just to clarify the reported 29.2 months average term. Was that on new originations in the quarter or new and legacy installments on the book?
William Henderson: That was on the entire portfolio, including modifications.
Eric Carter - Kobi Partners: Okay, and then, I am sorry if I missed you, did you report the average term for new contract for the quarter?
William Henderson: Yes, we did. The initial contract term was 27.7 months compared to 26.7 for last year's fourth quarter.
Eric Carter - Kobi Partners: Okay.
William Henderson: But the third quarter was actually 27.8. Initial contract terms were down just a little bit from the third quarter.
Eric Carter - Kobi Partners: Got it. Okay, thank you very much.
William Henderson: Thank you.
Operator: Our next question comes from Sasha Kostadinov of Shaker Investments. Your line is now open.
Sasha Kostadinov - Shaker Investments: Hi, thanks. I believe you gave this as a percentage of receivables but what was the aggregate level of collections on the quarter, in the fourth quarter of this year and last year?
William Henderson: The dollar amounts?
Sasha Kostadinov - Shaker Investments: Yes, the dollar amounts.
William Henderson: Actually, I don’t have that number in front of me. Give me a call after the call. I can get you those numbers.
Sasha Kostadinov - Shaker Investments: Okay.
William Henderson: They are both percentages of average finance receivables.
Sasha Kostadinov - Shaker Investments: Okay, well my percentages for last year didn't jive with yours. That's why I was asking. Okay, I will call you after the call.
William Henderson: Okay, bye. Thanks.
Operator: Our next question comes from Effie Wolle of GFI Investment Counsel. Your line is now open.
Effie Wolle - GFI Investment Counsel: Hi, guys. Thanks for the call. With respect to the overdue by 30 days or more, we know that that jumped up to about 5.1%. Is that a blip in underwriting? Can you explain that a bit? Then second question is just surrounding competition. Is what you are seeing typical in terms of cycles of ebbs and flows or is it worse than you have seen in the history of the company? Thanks.
William Henderson: Well, certainly there, the 30% plus is higher than we would like it to be. We have had more delinquencies, pretty much throughout the year. We are working harder with customers. Macroeconomic environment certainly has affect there. The payroll tax increase has an affect. So we are, at any point in time, having more accounts being delinquent, having to work with customers more closely but we are working through those issues one at a time. While it is up, we feel good about the overall quality of the overall portfolio and we are doing all we can to help these folks succeed. As far as the competitive environment.
Jeffrey Williams: Yes, I can speak to that. I think because something you mentioned in your comments earlier, with reference to the older stores, but I think we definitely feel more competition in larger the markets we are in and that simply obviously there is more competitors, even that many more other dealers that have some of this financing available. So I think we feel the pressure in our larger markets. Fortunately we are also in a lot of smaller markets as well where we probably don’t feel it quite so much. I would say, that right now this past year, its probably has been an all time high. I think you go back five or six years ago, we saw some of this financing availability increase at that time. It was short lived but we felt it once before, but yes, outside this past year, is probably the most intense and the most available we have ever seen it.
Effie Wolle - GFI Investment Counsel: Okay, guys. Thanks a lot.
Jeffrey Williams: Thank you.
Operator: Our next question comes from Dan Mazur of Harvest Capital. Your line is now open.
Dan Mazur - Harvest Capital: Thanks for taking my question. Do you have any color on the increase on the term including mods? How much is off driven by the increases driven by initial term versus increased modifications?
William Henderson: The modifications are up about 6% or 7% for the quarter. So we are seeing an increase in the modifications and those contracts that are getting modified are the time we are adding to the contract is little more than it was at this time last year.
Dan Mazur - Harvest Capital: Okay, that helps. Can you remind me when, around what timing you started to help improve sales and credit was changing and mods and then slightly lower down payments and extension of terms?
William Henderson: It started last year, August, September time period. We have been feeling a little pressure before that. But really I think the month of September was an eye-opener for us in terms of the competition out there and the fact that we needed to do something on the structure side to retain some of those better customers. So it really started during our second quarter of last year.
Dan Mazur - Harvest Capital: Okay, and I think this is old disclosure. I am not sure if it still holds but I think you used to say that around half of your charge-offs occur around the 10 to 11 month period. Is there anything that you are seeing in those early on the vintage August, September and post that you feel, okay, that we don’t have, when we get to that peak charge-off, that we don’t have a big spike?
William Henderson: Yes, of course we track all those pools and there has been nothing there in terms of unit loss or frequency that would be considered out of the ordinary.
Dan Mazur - Harvest Capital: Okay, and you are aware of the rest of the down payment, the extension of terms, mods, et cetera, but the loss reserve has basically been the exact same for the last five quarters. Is that something you revisit every once in a while? Or the fear would be if you hit that pendulum 11 month period there is a slight spike, so not only the charge-offs drives provision higher but then you have got to take the provision up? Just any color on that would be helpful.
William Henderson: Yes, of course. The reserve is analyzed every quarter. It's an amount that it is an estimated loss mount. The average age of our portfolio is about 8.5 months right now and our annualized charge-offs are running right at 25%. So you end up with a 21.5% reserve being a pretty good estimate, based on the average life of the portfolio and the fact that we have already got eight months of experience in that number. So we feel good about the 21.5%. We don’t expect to have to adjust that anytime in the near future.
Dan Mazur - Harvest Capital: Okay, great. Thanks.
Operator: Thank you. (Operator Instructions) Our next question comes from Brandon Cohen of Abrika. Your like is now open.
Brandon Cohen - Abrika Investments: Thank you. My question is about the provision for credit losses. You were just talking about it a little bit. For the year, last year it was 23.1%, the year before it was 21.1% and then for the last 10 years besides 2007, it has pretty much been between 20% and 22%. Do you see the 23.1% as something temporary that these pressures are causing that provision to need to be increased and over time it will trend back to the 20%, 22% or does that seem like it’s a new competitive environment and upwards of 22% is more likely?
William Henderson: Well, we would love to have it lower and we are doing everything we can to keep it lower but we have to be realistic, at least over the short-term in the future that we have got some competitive pressures and some things that we have to do on the structuring side. As far as giving a view long-term, we feel like long-term credit losses are going to come back down to more historical ranges, but as we look at the short-term future, I think we are going to be a little higher than we have been historically.
Jeffrey Williams: I think if we got two different things going on. As we said, that as we have a higher percentage of younger stores that pushes it up. That combined with the current competitive market, we are a little bit above the range we talked about for some time. but we do intend to bring that back down over time.
Brandon Cohen - Abrika Investments: With the new stores, what typically is the difference between a new store and a mature store in terms of what you would provision for credit losses as a percentage of sales on a store level?
William Henderson: There are two factors that drive it. One certainly got the new manager there. As we talked about it quite a bit, our repeat business is an important part of our business. As we roll back in proven customers with the more mature stores that helps to push it down. So our newer stores are going to typically run higher.
Brandon Cohen - Abrika Investments: Do you have any estimate on how much higher it typically is?
William Henderson: Maybe you we talk about that.
Jeffrey Williams: In the past, we have talked about our newer lot being in the mid-20s and the older lots being in the mid-teens. So there is a pretty good swing between an old lot and a new lot.
Brandon Cohen - Abrika Investments: Okay, and then one other question I had was regarding CapEx. What's the typical capital expenditure to build a new store?
Jeffrey Williams: Our average is right at $250,000 for CapEx for a new dealership.
Brandon Cohen - Abrika Investments: Okay. All right. Thank you. That was all I had.
Jeffrey Williams: Thank you.
Operator: Thank you. At this time, I am not showing any further questions. I would like to turn the call back to management for any further remarks.
William Henderson: Well, I just want to thank everyone for joining us today. As we talked about this is a tough environment but nevertheless, we continue to see some improvements on sales and as just here discussed we do have some work to do on the collections and that’s where a lot of our focus lies. So, we certainly have it in the works there. Several of new store projects so we're pushing forward with our growth and we see a lot of opportunity out there for us. So we thank you all for joining us and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.